Operator: Hello. And welcome to the Fourth Quarter 2024 IRIDEX Earnings Conference Call. At this time, all lines have been placed on mute to prevent any background noise. I would now like to turn the call to Trip Taylor of the Investor Relations Department. Please go ahead.
Trip Taylor: Thank you and thank you all for participating in today’s call. Joining me from the company are Patrick Mercer, IRIDEX’s Chief Executive Officer; and Romeo Dizon, the company’s Chief Financial Officer. Earlier today, IRIDEX released financial results for the quarter ended December 28, 2024. A copy of the press release is available on the company’s website. Before we begin, I’d like to remind you that management will make statements during this call that include forward-looking statements within the meaning of federal securities laws, which are made pursuant to the Safe Harbor provisions of the Private Security Litigation Reform Act of 1995. Any statements made during this call that are not statements of historical fact, including but not limited to statements concerning our strategic goals and priorities, product development matters, sales trends, and the markets in which we operate. All forward-looking statements are based upon current estimates and various assumptions. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated or implied by these forward-looking statements. Accordingly, you should not place undue reliance on these statements. For a discussion of the risks and uncertainties associated with our business, please see the most recent Form 10-K and Form 10-Q filings with the SEC. IRIDEX disclaims any intention or obligation, except as required by law, to update or revise any financial projections or forward-looking statements, whether because of new information, future events, or otherwise. This conference call contains time-sensitive information and is accurate only as of the live broadcast today, March 27, 2025. And with that, I’ll turn the call over to Patrick.
Patrick Mercer: Good afternoon and thank you all for joining us. I’ll start today’s call by commenting on the three key themes that have the potential to improve our business performance in 2025 versus recent years. Next, Romeo will walk us through the fourth quarter financial results and then I’ll come back to provide some information on our upcoming Q1 pre-announcement. Today’s call will not include a question-and-answer session, but there will be more information and a special call forthcoming in a few weeks. The three key ideas I’ll start the call off with are; one, the successful implementation of the cost-reduction program we announced on our last call, which was completed in the fourth quarter; two, stabilization and positive outlook for our business continuing through Q1, particularly in glaucoma; and three, the recently announced strategic investment by Novel Innovations and how that transaction relates to the broader strategic review and efforts to maximize shareholder value. The sequential nature of these three key ideas is particularly important to a proper understanding of IRIDEX as we proceed into 2025. Recall that IRIDEX announced a strategic process, including the engagement of an investment banker in August 2023. When I was appointed CEO on October 1, 2024, two key reasons were outlined in both the press release and the subsequent November earnings call, both of which related to the ongoing strategic review process, which had been underway for over a year. First, it was believed that my leadership could help accelerate progress toward a transaction. And second, the Board felt I was the best person to implement a cost-reduction program due to the unexpectedly lengthy duration of the strategic review process. Late last year, when we held our earnings call relating to the third quarter of 2024, we updated on several things. This included progress in executing on the cost-reduction plan and information relating to the companies attending the annual AAO Ophthalmic Conference in October. At the meeting, we participated in numerous meetings with physicians and industry peers. In those meetings, we received encouraging feedback on the response to the LCD, which took effect in November, and how that was likely to increase interest in and use of our laser-based and non-mix glaucoma treatments. At AAO, IRIDEX leadership also met with several parties that expressed a strong desire to pursue a transaction with IRIDEX and the intention to move quickly. All of this was reported in our November 2024 third quarter call. Meetings and expressions of interest continued and heated up during the holidays and into 2025. As we called out in our press release earlier today, companies in our ophthalmology sector are unusually active and there is regular news of both transactions and prospective transactions involving a significant number of our peer companies. There can be little doubt that our strategic review was well-timed relating to all the activity that we have seen and heard about over the last year. That said, progress toward our closing on and announcing a transaction involving IRIDEX was repeatedly interrupted, delayed and even undone by circumstances created by some of the transactions that have been completed, and news relating to other transactions which may occur in the near future. These past and present activities provide important context for the strategic investment by Novel Innovations that we announced last week. Our announcement articulated that the investment was strategic in nature and not just a cash infusion by a passive investor. The successful implementation of our cost reduction program has stabilized the business, positioning us to generate positive cash flow from operations. The Novel investment strengthens our balance sheet, giving us a much more solid foundation to participate as a leading global player within both the retina and glaucoma market segments. Next, about Novel Innovations. Despite our efforts, it seems that many people have overlooked that the investment was done at a price of $2 per share on a common stock equivalent basis. The deal was done at a significant premium to the public market pricing of our stock, both before and after the Novel investment. This premium pricing reflects the strategic nature of the investment and Novel’s appreciation of the intrinsic value of both IRIDEX’s existing business and the company’s potential within a rapidly evolving global marketplace. Novel has affiliations with a long-time IRIDEX business partner and distributor in Asia. Novel was brought into the transaction by Will Moore, a former IRIDEX CEO and newly appointed director of IRIDEX. IRIDEX has a long history, a well-respected brand and a global network of premier distribution partners. Mr. Moore recognized that IRIDEX has an opportunity to strengthen its own market position by taking steps to add complementary products to its existing portfolio to increase its competitive position within a consolidating healthcare sector. Novel agreed with this vision and invested $10 million into IRIDEX, with another $10 million available to support future product and growth initiatives. The evolving strategy will be discussed in depth during the special call we will schedule in mid-April prior to the ASCRS meeting in Los Angeles. Turning back to my list of three important ideas for this call, first on the list is a successful execution of our cost reduction program during the fourth quarter of 2024. We acted quickly after I was appointed CEO on October 31st of last year. We brought costs in line with our current and anticipated baseline revenue, severance expenses relating to cost cutting were mostly covered in the fourth quarter numbers. There will be some transaction costs in the first quarter related to the Novel investment, but those should be over for the time being. We expect to be adjusted EBITDA positive and cash flow positive for the year while generating revenue in line with 2024. In 2025, we will focus on growing and improving our business, a key initiative I’m excited to move forward with is modernizing our manufacturing process. This will decrease manufacturing costs and increase product supply capacity. I’m eager to be able to spend some time turning our plans into actionable real-world improvements. An equally important focus is ensuring we fully capitalize on the opportunities created by the LCD implemented in November 2024, which has significantly altered the landscape for physicians by limiting the use cases for mixed devices. While we won’t return to the aggressive spinning patterns of recent years, that’s not my approach. I believe the LCD itself offers far greater value in terms of driving opportunity for IRIDEX than any market spin could and we are starting to see utilization increase as a result. The third tailwind we have in 2025 is leveraging the financial and strategic flexibility provided by the Novel transaction to accomplish our business improvement and strategic goals. That transaction should be understood as a recommitment to extend IRIDEX’s leadership in ophthalmology. Novel is an investment entity without any direct operations. So there isn’t much to uncover through traditional research. However, in April, we’ll provide a deeper look into Novel’s strategic intent behind its investment in IRIDEX. As we’ve discussed, this isn’t about shifting IRIDEX to a new business model, but rather enhancing and intensifying our involvement in the ongoing consolidation and transaction opportunities within the markets where IRIDEX has always been active and an industry leader. I’m going to turn the call over to Romeo and ask him to walk us through Q4 results before I come back with some final remarks.
Romeo Dizon: Thank you, Patrick. Good afternoon, everyone, and thank you for joining us today. I would like to begin by reviewing our financial performance for the fourth quarter ended December 28, 2024. IRIDEX delivered a solid fourth quarter and I am pleased to note that we returned year-over-year revenue growth for the quarter. Revenue for the three months ended December 28, 2024 was $12.7 million, compared to $12.5 million during the same period of the prior year. On a sequential basis, total revenue increased $1.1 million or 10% from $11.6 million reported in Q3, 2024. We believe our solid fourth quarter results reflect an improving macroeconomic environment and we are seeing good sales momentum as we enter the beginning of 2025. Total product revenue from the Cyclo G6 glaucoma product family was $3.3 million, an increase of 9% versus the fourth quarter of 2023 driven primarily by stabilization of probe sales as clarity on the glaucoma procedure reimbursement environment in the U.S. improves. We sold 13,300 Cyclo G6 probes, compared to 12,700 in the prior year quarter. And we sold 47 Cyclo G6 glaucoma laser systems in the fourth quarter of 2024, compared to 35 in the same quarter of the prior year. Retina product revenue was $7.3 million or a decrease of 3% compared to the prior year period. In the retina business, deferral of capital purchases led to lower system sales internationally. This decrease, however, was partially offset by increased sales in the U.S. Other revenue, which includes royalties, services and other legacy products, was $2.1 million in the fourth quarter of 2024, compared to the prior year period of $2.0 million, primarily driven by higher service revenue. Gross profit for the fourth quarter of 2024 was $5.6 million or a 44.0% gross margin, an increased compared to $4.9 million or a 39.2% gross margin in the same period of the prior year, primarily driven by geographic and product mix. Operating expenses were $6.1 million in the fourth quarter of 2024, a decline of $1.9 million, compared to $8.0 million in the same period of the prior year. The decrease in operating expenses was a result of expense reduction measures implemented in the second half of 2024. Net loss for the fourth quarter of 2024 was $0.8 million or $0.05 per share, compared to a net loss of $3.0 million or $0.18 per share in the same period of the prior year. I’m pleased to report that for the first time in recent history, we have achieved positive adjusted EBITDA. Total adjusted EBITDA for the fourth quarter of 2024 was $0.4 million, an improvement of $2.4 million, compared to total adjusted EBITDA of negative $2.0 million for the comparable quarter of the prior year. Cash and cash equivalents totaled $2.4 million as of December 28, 2024. Cash balance did not include the closing of a strategic investment in the company, resulting in $10 million of gross proceeds along with an option by the investor to fund up to $10 million of additional proceeds for future growth initiatives announced on March 19, 2025. And with that, I will now turn the call back to Patrick.
Patrick Mercer: Thank you, Romeo. Before concluding today’s call, I want to reiterate and expand on an important special topic in the press room. For many years, IRIDEX has had the custom of pre-announcing his fourth quarter financial results. The reason for this is to allow the company to participate and talk freely at the J.P. Morgan Healthcare Conference in San Francisco, which is held every year in mid-January. Pre-announcing also has the effect of opening the trading window for insiders that would otherwise have to wait until the regular earnings call and SEC filings that occur many weeks later. We have decided that we will pre-announce our first quarter 2025 results as soon as we are in position to do so in April. We will do this for two reasons. First, our insider trading window has been closed for more than a year due to the longer than expected strategic process and no one inside the company has been permitted to buy stock even as the price drifted down. Second, we share the view of our partner, Novel, that our business is significantly undervalued at the prevailing market price, especially relative to the $2 per share common stock equivalent valuation, where Novel just made its $10 million investment in the company. This pre-announcement will be a one-time event. We are not creating a precedent and have no intention of indicating any other changes from our well-established historic quarterly reporting practices. Thank you again for your time and attention. We hope you will join us again for the special call we plan to conduct in mid-April.
Q - :
Operator: Ladies and gentlemen, that concludes today’s call. Thank you all for joining. You may now disconnect.